Operator: Thank you for joining us for Navios Maritime Partners Second Quarter 2025 Earnings Conference Call. With us today from the company are Chairwoman and CEO, Mrs. Angeliki Frangou; Chief Operating Officer, Mr. Efstratios Desypris; Chief Financial Officer, Mrs. Erifili Tsironi; and Chief Trading Officer, Mr. Vincent Vandewalle. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners' website at www.navios-mlp.com. You'll see the webcasting link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management and are subject to risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will give an overview of Navios Partners segment data. Next, Ms. Tsironi will give an overview of Navios Partners' financial results. Then Mr. Vandewalle will provide an industry overview. And lastly, we'll open the call to take questions. Now I turn the call over to Navios Partners' Chairwoman and CEO, Mrs. Angeliki Frangou. Angeliki?
Angeliki N. Frangou: Good morning, all, and thank you for joining us on today's call. I am pleased with the results for the second quarter of 2025 in which we reported revenue of $327.6 million and an EBITDA of $178.2 million and net income of $69.9 million. Earnings per common unit were $2.34 for the quarter. Global economies have been surprisingly robust given the uncertain macro environment. In addition, we are witnessing the creation and reshaping of new trade patterns with longer distances due to the war in Ukraine and Russia, continued attacks in the Red Sea and a new and evolving world tariff regime. As a result, the shipping market generally is healthy. Please turn to Slide 6. Navios Partners is a leading publicly listed shipping company with 173 vessels. These vessels have an average age of 10 years and are in 3 different segments and 15 asset classes. As you can see, the vessel value is approximately equal in each sector. We ended the second quarter with $389 million of cash on our balance sheet. Our net LTV as of the end of the second quarter was calculated at 35.3%, essentially unchanged from the last quarter. Please turn to Slide 7. We generated $96 million in gross sales proceeds from the sale of 3 vessels with an average age of 16.5 years. We purchased 2 Aframax LR2 tankers for $133 million, and we expect delivery of these vessels in 2027. We also took delivery of 1 newbuilding Aframax LR2 tanker fixed for $27,446 net per day for the next 5 years. We recently took swift action in response to OFAC sanctions on one of our counterparties. On July 3, 2025, the U.S. Department of Treasury's Office of Foreign Assets Control added a counterparty of Navios to its sanction list. The following day, we terminated contracts for 2 related VLCCs built 2020 and 2021. That were bareboat chartered-out each at a daily net rate of $27,456 ending in October 2030 and February 2031. Swift action allowed us to redeploy these vessels into a healthy spot market. We anticipate entering into long-term charters for these vessels at an appropriate time. For the remaining 6 months of 2025, contracted revenue exceeds estimated total cash expense by $56 million. We have 6,838 remaining open and index days, about 25% of our available days, so we have significant cash generative opportunities. Please turn to Slide 8, where we outlined our return of capital program. Under our dividend program, we paid $0.20 dividend per unit annually. In the second quarter of 2025, we paid a dividend of $1.5 million. In addition, so far this year through August 13, 2025, we repurchased 716,575 common units for $27.8 million. Including dividends, we returned a total of $30.8 million in 2025. Under the entire unit repurchase program, we invested $52.8 million through August 13, 2025 and repurchased 1,206,530 units or about 4% of our common units outstanding at the time we commenced the program. As we show on the slide, we estimate that we effectively returned an additional $3.8 per unit of value of NAV to unitholders through these purchases. As of August 13, 2025, we had $47.2 million available under our unit repurchase program. The volume and time of further repurchases will be subject to general market and business conditions, working capital requirements and other investment opportunities, among other factors. Please turn to Slide 9. We outlined the challenges we have been addressing. We assemble our team regularly to dive into the details of emerging information in an attempt to understand how various risks are evolving. On the top right part of the slide, we outlined how we are addressing the uncertain market and the things we have accomplished. The $3.1 billion in contracted revenue stems from our action in past markets where sentiment allow us to enter into long-term charters. We are also focused on our interest rate risk. We have been hedging this risk either by entering into fixed rate financing arrangements or through hedges that do not require posting additional collateral. At the bottom of the slide, we show how our fleet has evolved through selected metrics. As you can see, our fleet size and age are about the same as they were in the year-end 2022. However, about 28% of our fleet was acquired in the past 4.5 years, so we maximize energy efficiency by maintaining a fleet of youthful vessels with the latest technology. On the financial side, we focus on deleveraging and reduced net LTV from 45% at the end of 2022 to 35.3% at the end of the second quarter 2025. I now turn the presentation over to Mr. Efstratios Desypris, Navios Partner Chief Operating Officer. Efstratios?
Efstratios Desypris: Thank you, Angeliki, and good morning all. Please turn to Slide 10, which details our operating free cash flow potential for the second half of 2025. We fixed 75% of available days at a net average rate of $24,989 per day. Contracted revenue exceeds estimated total cash expense by about $56 million, and we have 6,838 remaining open or index-linked days that should provide substantial additional cash flow. So that you can perform your own sensitivity analysis. On the right side of the slide, we provide our 27,615 available days by vessel type. Please turn to Slide 11. We are constantly renewing our fleet in order to maintain a young profile. We reduce our carbon footprint by modernizing our fleet, benefiting from new technologies and advanced environmentally friendly features. During the second quarter, we acquired 2 newbuilding Aframax LR2 vessels for $133 million. Vessels are expected to be delivered in the first half of 2027. In June 2025, we took delivery of 1 Aframax LR2 vessel that has been chartered-out for 5 years at an average net daily rate of $27,446. We have 22 additional newbuilding vessels delivering to our fleet through 2028, representing $1.4 billion of investment. Based on our financing, both agreed and in process, we have about $150 million of equity remaining to be paid. In containerships, we have 4 vessels to be delivered with a total acquisition price of about $0.4 billion. We have mitigated residual value risk with long-term creditworthy charters expected to generate about $0.3 billion in revenue over a 5-year average charter duration. In tankers, we have 18 vessels to be delivered for a total price of approximately $1 billion. We chartered-out 12 of these vessels for an average period of 5 years, expected to generate aggregate contracted revenue of about $0.6 billion. We have also been opportunistically selling older vessels. In 2025, we sold 6 vessels, 3 dry bulk and 3 containerships with an average age of 18 years for a total of about $130 million. Moving to Slide 12. We have a strong backlog of contracted revenue that we built over the previous years that creates visibility in an uncertain environment. Contracted revenue was reduced by about $150 million due to the sale of 1 transshipment vessel and the termination of the contracts on 2 VLCC vessels, which are currently employed in a healthy spot market. Post these events, our total contracted revenue amounts to $3.1 billion. $1.2 billion relates to our tanker fleet, $0.2 billion relates to our dry bulk fleet and $1.7 billion relates to our containerships. Charters are extending through 2037 with a diverse group of quality counterparties. I now pass the call to Erifili Tsironi, our CFO, who will take you through the financial highlights. Erif?
Erifili Tsironi: Thank you, Stratos, and good morning all. I will briefly review our unaudited financial results for the second quarter and the first half ended June 30, 2025. The financial information is included in the press release and is summarized in the slide presentation available on the company's website. Moving to the earnings highlights on Slide 13. Total revenue for the second quarter of 2025 decreased by 4.3% to $328 million compared to $342 million for the same period in 2024 due to lower fleet combined time charter equivalent rate, available days and revenue from freight voyages. Our combined TCE rate for the second quarter of 2025 decreased by 1.5% to $23,040 per day and our available days decreased by 0.8% to 13,388 days compared to Q2 2024. In terms of sector performance, the TCE rate for our container fleet increased by 3.6% to $31,316 per day. In contrast, the TCE rate for our dry bulk and tanker fleet was 13.9% and 4.6% lower, respectively, at $15,470 per day for dry bulk and $26,537 per day for tankers. EBITDA for the second quarter and the first half of 2025 was adjusted as explained in the slide footnote. Adjusted EBITDA for Q2 2025 decreased by $17 million to $173 million compared to Q2 2024. The decrease is driven primarily by $15 million decrease in time charter and voyage revenues, a $3 million increase in general and administrative expenses and a $9 million increase in vessel operating expenses as a result of a 5.6% increase in OpEx days and a 4.5% increase in our combined OpEx rate to $7,108 per day, also as a result of the change in the composition of our fleet. Adjusted EBITDA was positively affected by a $9 million decrease in time charter and voyage expenses due to less freight voyage days in the second quarter of 2025. Adjusted net income for Q2 2025 was $64 million compared to $94 million in Q2 2024. The decrease is mainly due to a $17 million decrease in adjusted EBITDA, a $9 million increase in depreciation and amortization and a $3 million increase in interest expense and finance cost net. Adjusted earnings and earnings per common unit for Q2 2025 were $2.15 and $2.34, respectively. Total revenue for the first half of 2025 decreased by $29 million to $632 million compared to the same period in 2024. The decrease was mainly a result of lower combined TCE rate, available days and revenue from freight mortgages. Our combined TCE rate for the first half of 2025 was $22,154 per day. In terms of sector performance, TCE rate for our containers increased by 2.9% to $30,906 per day compared to the same period in 2024. In contrast, our dry bulk and tanker TCE rates were approximately 12.6% and 5.9% lower, respectively. TCE rates for our dry bulk vessels stood at $14,070 per day and for our tankers $26,316 per day for the first half of 2025. Adjusted EBITDA for the first half of 2025 decreased by $28 million to $326 million. The decrease was primarily due to $29 million decrease in time charter and voyage expenses, a $4 million increase in general and administrative expenses and a $16 million increase in vessel operating expenses, mainly as a result of a 5.2% decrease in OpEx days and a 3.6% increase in our combined OpEx rate to $7,045 per day, also as a result of the change in the composition of our fleet. Adjusted EBITDA was positively affected by $21 million decrease in time charter and voyage expenses due to less freight voyage days in the first half of 2025. Adjusted net income for the first half of 2025 was $112 million, $54 million lower than the first half of 2024. The decrease is mainly due to a $28 million decrease in adjusted EBITDA, a $17 million increase in depreciation and amortization and a $7.5 million increase in interest expense and finance cost net. Adjusted earnings and earnings per common unit for the first half of 2025 were $3.73 and $3.72, respectively. Turning to Slide 14. I will briefly discuss some key balance sheet data. As of June 30, 2025, cash and cash equivalents, including restricted cash and time deposits in excess of 3 months were $389 million. During the first half of 2025, we paid $107 million under our newbuilding program, net of debt. We concluded the sale of 3 vessels for $34 million, adding about $22 million cash after debt repayment. Long-term borrowings, including the current portion, net of deferred fees, increased to $2.2 billion following the delivery of 5 vessels during the first half of the year. Net debt to book capitalization improved to 33.9%. Slide 15 highlights our debt profile. We continue to diversify our funding sources between bank debt and leasing structures. Following our $88 million interest rate hedge in Q1 2025, 29% of our debt and bareboat liabilities have fixed interest rate at an all-in rate of 5.5%. The hedge mechanism was part of the original loan agreement and does not require additional collateral. We also have mitigated part of the increased interest rate cost by reducing the average margin for our drawn floating rate debt and bareboat liabilities to 1.9%. I would like to note that the average margin for the committed undrawn floating rate debt of our newbuilding program is 1.4%. Our maturity profile is staggered with no significant balloons due in any single year. In Q2 2025, Navios Partners completed 3 facilities for a total amount of $390 million. I'll now pass the call to Vincent Vandewalle, Navios Partners' Chief Trading Officer, to take you through the industry section. Vincent?
Vincent Vandewalle: Thank you, Eri. Please turn to Slide 17. Geopolitical developments continue to shift worldwide trading routes caused by the tariff war, restricted Suez Canal passages, Ukraine war and implementation of the USTR. Announced tariffs are not expected to have a significant effect on tankers and dry bulk trade a part of grain and steel. The heaviest tariff impacts will be on container ships and car carriers. The Red Sea entrance leading to the Suez Canal continues to operate at the restricted transit levels, particularly since the sinking of 2 ships transiting the waterway in July. The Ukraine war is shifting trading patterns with limited grain export out of the Black Sea and benefiting exports out of Brazil and U.S.A. and Russian crude export diverted to Asia due to tighter sanctions. On April 17, USTR released a revised Section 301 fee proposal targeting Chinese vessel operators and Chinese-built ships with extra port fees when calling the U.S. ports. These fees are to take effect from October 25. Please turn to Slide 19 for the review of the dry bulk industry. Dry bulk trade softened in first half '25 due to weather patterns, typical seasonality, increased domestic coal production in China and India and slower Chinese grain imports. As a result, the Baltic Dry index average declined 30% in first half '25 versus first half '24, but has risen 37% since the end of June, standing at 2,044 on August 15. Continued recovery is expected through Q3, driven by Capes due to seasonally higher volumes of iron ore and bauxite. Please turn to Slide 20. The current order book stands at 11% of the fleet. Net fleet growth is expected to be 3.1% in '25 and vessels over 20 years of age are about 11% of the total fleet, which is slightly higher than the order book. In concluding our dry bulk sector review, slowing demand growth for natural resources may be balanced by restrictions in transiting the Red Sea, long-haul trades of bauxite and iron ore from West Africa to Asia and a low pace of newbuilding deliveries. This should support higher freight rates as the freight future market currently indicates, particularly for Capes. Please turn to Slide 22 for the review of the tanker industry. World GDP is expected to grow by 3% in '25 based on the IMF July forecast. The IEA projects a 0.7 million barrels per day increase in global oil demand in '25. Crude tankers earnings have risen as OPEC unwinds its 2.2 million barrels per day voluntary production cuts. More crude is exported from Brazil, the U.S.A. and as Asian refineries replaced Russian and Iranian barrels with non-sanctioned imports. Overall, the political environment, along with the normal seasonality, the reduction of the fleet due to sanctioned vessels, low global oil inventories and additional production from OPEC and Atlantic basic suppliers should support crude freight rates. Please turn to Slide 23. The U.S. Office of Foreign Assets Control, OFAC, continues to issue new sanctions targeting Russia and Iran's oil revenue. The total number of sanctioned vessels is now about 13% of the tanker fleet. Both China and India have said that they will not allow OFAC sanctioned vessels to discharge. Please turn to Slide 24. Seaborne crude and products trades continues to be affected by the war in Ukraine. Both the crude and the product market rates remains at healthy levels. Please turn to Slide 25. The VLCC fleet had a 0 fleet growth in '24 and is expected to grow 0.4% in '25. The current order book is 12.3% of the fleet following a record ordering spree in '24. Vessels over 20 years of age are about 20% of the total fleet. Turning to Slide 26. Production tanker net fleet growth was 1.7% for '24 and is expected to increase by 5.8% in '25. The current product tanker order book is 19.7% of the fleet compared to 18.3% of the fleet, which is 20-plus years of age. Concluding the tanker market overview, tankers rates continue at healthy levels. The combination of a moderate growth in global oil demand, sanctions reducing the numbers of available vessels, new longer trading routes for both crude and products and the IMO 2023 regulations should provide healthy tanker earnings going forward. Please turn to Slide 28 for a review of the container industry. Container ships rates remain firm because of the Red Sea. TEU miles increased by about 19% in '24. The continuous Red Sea disruption will lead to an expected TEU mile increase of 2.7% this year, providing healthy time charter rates while ships avoid the waterway. However, continuing record newbuilding ordering and record fleet growth should eventually modifies these gains. Tariffs, particularly the outcome of the tariff negotiations on U.S. imports of Chinese goods will have a significant effect on demand and trade should they remain at recent announced levels. Turning to Slide 29. The current order book stands at 31% compared to 13.5% of the fleet 20 years of age or older. About 80% of the order book is for 10,000 TEU vessels or larger. Although trade is expected to grow by 2.6% in '25, net fleet growth is expected to grow by 6.7% in '25, following a 10% flat fleet growth in '24. Concluding the container market overview, if the contemplated tariffs between U.S. and China remain in place, this may have a negative effect on demand and trade. However, the expected world GDP growth of 3% for '25 provides a somewhat positive counterpoint. This concludes our presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki N. Frangou: Thank you, Vincent. This completes our formal presentation, and we open the call to questions.
Operator: [Operator Instructions] We'll take our first question from Omar Nokta with Jefferies.
Omar Mostafa Nokta: Obviously, a very good amount of detail, and it looks like a good amount of stuff has taken place for Navios and maybe just a couple of questions from my side. Perhaps first on those 2 VLCCs that were on charter to VS Tankers, that entity now being sanctioned, you've been able to terminate those contracts, which looks like it's going to perhaps work out nicely given the setup for the sector. I just wanted to ask, you're planning to trade those on the spot market. You mentioned looking to put them on charter at some point down the line. Just wanted to ask in terms of your timing of that. When do you -- when would you want to put those away on charter? And then also, if for any reason that entity were to be removed from that list, the OFAC list, would that in some way -- would that compel you to have to give them back to that company and resume those leases?
Angeliki N. Frangou: Excellent. Let's start with the VLCCs. I will say one thing, Omar. First of all, I have to give a big congratulation on this to our risk management team because to be able to terminate immediately, practically, that is a work that has done well in advance with a team that was organized that gave us the opportunity immediately to terminate, take the vessels back and be able to charter them in a healthy spot market. And this is also the team that monitors all this time, all the trade, every loading, every discharging, every movement, and I am very proud of the team. The reality is that this is a healthy market. And we will be open to trade in this market. And I think Q4 will be -- it looks to be shaping very well. But always, we look at opportunities at the right time to put vessels on longer durations. I mean, 1 year later, over 50,000 longer duration is -- and let's see, we are monitoring and we'll take the opportunity to the right time.
Omar Mostafa Nokta: Okay. And then just out of -- just to make sure those -- you're free and clear of those contracts so you can do what you want with these 2 ships?
Angeliki N. Frangou: And answering -- sorry, because you asked another question. The other question is that the -- at the moment you cancel the contract, that's it. You have 0 -- even though I don't see that easily that counterparty will be back, but it cannot claim or come after because it's a clear contract and that cancellation is a termination of the contract is reversible.
Omar Mostafa Nokta: Okay. Very good. Yes. So that looks very unique and perhaps compelling opportunity here. And then obviously, just in terms of the fleet, you continue to fine-tune it, which, as you said, is part of the core strategy of Navios selling older and investing in new capacity. The 2 -- I guess 2 questions on that. The LR2s you've ordered, those are not chartered. It doesn't look like, although the previous LR2s have been. Is the expectation that you will fix those out ahead of delivery? That's one. And then two, given that the 2 older Panamax container ships you sold, those look to be very good prices, I would think, at least relative to [ what's in ] people's models. How do you think about the other ships that roll off charter in that vessel class? Do those -- are those effectively sales candidates? Or do you intend to renew those contracts or extend them on new charters if you can?
Angeliki N. Frangou: I mean, Omar, I will say the truth. I mean, the strength of the container market given the order book and everything, and I've been very articulate. And to be honest, we are taking -- we are here to take advantage of the opportunities. If you see the sale of the 2 containers, the significance is also that you are selling vessels almost a year forward with surveys due at that time. So for us, this is a beautiful forward, basically selling 18-year-old almost vessels is a great idea and redeploying cash in a different asset. In today's market, we will not buy a container without a charter. On the tanker sector, I will say because we have not really had a lot of exposure on basically almost everything is fixed. We felt that the market made sense and we do not exclude that we can do a longer-term deal, but we feel comfortable on that vessel to be in our portfolio today without a charter. We have always investigated and we may fix it on a longer term, but we feel comfortable on that position.
Operator: And there are no further questions on the line at this time. I'll turn the program back to Angeliki for any additional or closing remarks.
Angeliki N. Frangou: Thank you. This completes our quarterly results and questions.
Operator: Thank you. And this concludes the Navios Maritime Partners earnings call. Thank you again for your participation, and you may now disconnect.